Operator: Hello, and welcome to W. P. Carey's Second Quarter 2025 Earnings Conference Call. My name is Diego, and I will your operator today. [Operator Instructions] Please note that today's event is being recorded. [Operator Instructions] I will now turn today's program over to Peter Sands, Head of Investor Relations. Mr. Sands, please go ahead.
Peter Sands: Good morning, everyone, and thank you for joining us for our 2025 second quarter earnings call. Before we begin, I'd like to remind everyone that some of the statements made on this call are not historic facts and may be deemed forward-looking statements. Factors that could cause actual results to differ materially from W. P. Carey's expectations are provided in our SEC filings. An online replay of this conference call will be made available in the Investor Relations section of our website at wpcarey.com, where it will be archived for approximately 1 year and where you can also find copies of our investor presentations and other related materials. And with that, I'll pass the call over to Jason Fox, Chief Executive Officer.
Jason E. Fox: Thank you, Peter, and good morning, everyone. Our second quarter results highlight a very strong first half of the year, tracking ahead of our initial expectations on a variety of fronts. As a result, we're raising our outlook for full year AFFO growth to 4.5% at the midpoint of our revised guidance range. To date, we've closed over $1 billion of new investments. at initial cap rates averaging in the mid-7s, primarily with fixed rent escalations approaching 3%. We've made excellent progress with asset sales, including the first batch of self-storage operating properties, executed at attractive pricing and a significant spread to where we're reinvesting the proceeds. While we haven't needed to access the capital markets this year to achieve our investment goals, earlier in July, we opportunistically issued bonds that enhance our liquidity and further strengthen our balance sheet. While there's lingering uncertainty over the broader economy, to date, we've not experienced any unforeseen disruptions in our business either tenant credit events or tariffs. Accordingly, we're reducing our reserve for estimated potential rent loss. This morning, I'll review our progress over the first half of the year and our confidence in sustaining that momentum. Toni Sanzone, our CFO, will focus on our results and guidance raise as well as touch upon aspects of our portfolio and balance sheet. Toni and I are joined by Brooks Gordon, our Head of Asset Management, to take questions. Starting with investments. Supported by favorable market conditions, we maintained strong investment volume throughout the first half of the year, building on the increased level of activity we achieved in the fourth quarter of 2024. Year-to-date, we've completed over $1 billion of investments, including the approximately $550 million of deals we closed during the second quarter at an initial weighted average cap rate of 7.5% and a weighted average lease term of 19 years. Factoring in rent escalations over those long lease terms, that translates to an average yield in the mid-9% range, which we believe is one of the highest average yields in the net lease sector and one that provides a very attractive spread to our cost of capital. We've already closed about $230 million of investments in the third quarter, and our pipeline remains strong. Several hundred million dollars of deals at advanced stages, some of which we expect to close in the next few weeks. So at just over the halfway point in the year, we've surpassed our initial expectations and are therefore raising our investment guidance, which Toni will review in detail. Looking ahead, we believe there's still potential to be towards the top end of the new range, but the transaction environment remains favorable in the second half of the year, and we have a strong fourth quarter for deal closings as is often the case. We've also continued to build out our pipeline of capital projects, which includes build-to-suits, expansions and redevelopments, areas of investment where we have always been relatively active. Currently, we have nearly $300 million of projects underway and scheduled for completion over the next 18 months or so, which add to our pipeline and help support future growth. In terms of property type, virtually all of our second quarter investments for warehouse and industrial, which also represent the vast majority of our investments year-to-date as well as the bulk of our pipeline. The strength of our internal growth continues to be supported, not only by inflation-linked rent escalations, but also by our ability to structure leases with attractive fixed rent bumps, which have averaged 2.8% on our investments year-to-date. Geographically, our second quarter investments were concentrated in the U.S., where we continue to identify and evaluate many compelling opportunities, especially in industrial. Investment spreads have generally remained wider in Europe, which represents the bulk of the deal volume we've completed so far in the third quarter as well as a significant portion of our near-term pipeline. But our expectation is to continue to see and close attractively priced and structured deals in both regions over the remainder of the year. Turning to our sources of capital. In parallel with our first half investments, we've also made good progress with our funding strategy, which we outlined at the start of the year and is centered on accretive sales of noncore assets. We recently sold an initial tranche of 15 self-storage operating properties for $175 million executed at a sub-6% cap rate. Ten properties closed during the second quarter for $112 million, with the remaining sales completed in July. Currently, we have 2 additional storage portfolios totaling 17 properties under contract with closings expected in August, keeping us on track with our initial projections for storage sales this year and ahead of our original expectations on disposition cap rates. We remain confident that this year, we'll achieve well over 100 basis points of spread between our overall asset sales and our new investments with the potential to be closer to 150 basis points by the end of the year. In line with higher anticipated investment volume, we're also raising our expectations for full year dispositions, which could include additional tranches of storage assets. Even if investment volume exceeds the upper end of our guidance range, we're confident we can fund it with dispositions that generate strong accretion and AFFO growth. While we believe we're generating attractive spreads to our spot cost of capital, which we're keeping in mind when we evaluate new deals, the spreads we're generating are particularly attractive when we factor in the average yields over the life of the leases and when considering our actual source of funding, which is noncore dispositions at tight cap rates. Turning now to our portfolio. Amid an environment of broader economic uncertainty, we started the year with an appropriately conservative view on the potential for credit events within our portfolio. Seven months into the year, we're lowering our estimate of potential rent loss by $5 million. Part of what's left in our rent reserve reflects ongoing caution towards Hellweg, which remains current on rent, but is still navigating its turnaround plan. We've made good progress with our strategy of retenanting and selling Hellweg stores, further reducing our exposure and keeping us on track to move it out of our top 10 tenants this year and out of our top 25 next year. While there has been some recent progress on U.S. trade policy, especially with Europe, many issues remain unresolved. We continue to see no direct impacts in our portfolio, however, and we're confident that our rent reserve can cover any potential impacts over the second half of the year. That said, we'll continue to monitor for further developments. With that, I'll pause and hand the call over to Toni to discuss our results and guidance.
Toni Ann Sanzone: Thanks, Jason. Starting with earnings. AFFO per share was $1.28 for the second quarter, which represents an $0.11 or 9.4% increase compared to the second quarter of last year, driven by accretive investment activity, along with our sector-leading rent growth. As compared to the first quarter, the increase in AFFO per share was also primarily the result of net investment activity and rent escalations as well as certain timing impacts such as higher expenses in the first quarter and higher other lease-related income in the second quarter. Given our strong first half results and visibility into the second half of the year, we have raised our full year AFFO guidance range to between $4.87 and $4.95 per share, which implies 4.5% year-over-year growth at the midpoint. As outlined in our earnings release, our revised outlook is based on higher expected investment volume of $1.4 billion to $1.8 billion, mostly funded by higher expected dispositions of $900 million to $1.3 billion. As Jason discussed, we continue to expect to fund our investments accretively with proceeds from dispositions of operating and noncore assets, generating spreads averaging well over 100 basis points. Contractual same-store rent growth for the second quarter was 2.3% year-over-year, comprised of CPI-linked rent escalations averaging 2.6% for the quarter, while fixed rent increases averaged 2.1%. For the full year, we expect contractual same-store rent growth to average in the mid-2% range, which is also in line with our longer-term expectations, assuming inflation remains around current levels. Comprehensive same-store rent growth for the quarter was 4% year-over-year, reflecting the impact of rent collections, including the recovery of some past due rent this quarter as well as leasing activity and vacancies. Historically, our comprehensive same-store growth has typically tracked around 100 basis points below contractual. However, based on our current estimates, we expect it to track in line to slightly higher than contractual for the full year. Our portfolio continues to perform well with no significant new tenant credit events during the quarter. Therefore, we've lowered the potential rent loss assumption embedded in our AFFO guidance to between $10 million and $15 million, down from our previous estimate of $15 million to $20 million. Within that range, we currently have visibility into identified rent loss of about $4 million to $5 million or 1/3 at the current midpoint, which includes downtime on the Hellweg stores we're taking back. We continue to believe the balance of our rent loss assumption should conservatively cover any incremental tenant issues over the back half of the year. Other lease-related income totaled $9.6 million for the second quarter, bringing the total for the first half to $12.8 million. While the timing of these payments can vary from quarter-to-quarter, we continue to expect other lease-related income to total between $20 million and $25 million for the full year, which is unchanged from our prior estimate. Turning briefly to our operating properties. Taking into account the self-storage properties we sold during the second quarter plus those already sold or expected to be sold in the third quarter, we estimate that our operating property NOI for 2025 will fall between $55 million and $60 million, including the 4 hotel and 2 student housing properties in our portfolio. Given the possibility of additional operating asset sales this year, we'll continue to update that estimate as needed. Moving to expenses and nonoperating income. At the halfway point of the year, we've refined our guidance assumptions for expenses, slightly lowering our expectations for G&A expense, which we anticipate will fall between $99 million and $102 million for the full year. As mentioned on our last call, G&A tends to run higher in the first quarter due to timing with the second quarter reflecting more of a run rate for the remainder of the year. Non-reimbursed property expenses are expected to total between $50 million and $54 million for the full year, with the remaining quarters anticipated to be in line with the second quarter. Tax expense on an AFFO basis, which primarily reflects foreign taxes on our European assets is now expected to fall between $42 million and $46 million for the full year. Our expectations for both non- reimbursed property expenses and income tax expense have marginally increased due in part to the stronger euro. Nonoperating income is expected to total around $20 million for the full year, primarily comprised of the quarterly dividend we receive on our equity stake in Lineage, which totaled $2.8 million for the quarter and is assumed to remain at that level for the remainder of the year. Foreign currency hedging gains are expected to be negligible for the remainder of the year given the strengthening of the euro relative to the U.S. dollar. As a reminder, despite lower realized FX hedging gains and marginally higher expenses, a stronger euro positively impacts our European cash flows and, therefore, AFFO with the benefit primarily flowing through as higher lease revenue. Moving now to our balance sheet. We continue to proactively manage our balance sheet, leaving us well positioned with ample liquidity and very manageable near-term debt maturities. Earlier in July, we opportunistically issued $400 million of 5-year U.S. bonds, achieving excellent execution, pricing at a coupon rate of 4.65%. Our overall weighted average cost of debt remains low at 3.1% and is expected to stay around that level for the remainder of the year. We ended the second quarter with liquidity totaling about $1.7 billion, comprised primarily of the availability on our credit facility. At quarter end, we were about $660 million drawn on our revolver and early in July, we used the proceeds from our bond offering to partially pay that down, giving us additional flexibility as we execute on new investments over the remainder of the year. We have less than $50 million of mortgage debt maturing over the remainder of 2025, and our next bond maturity is not until April 2026, leaving us a substantial amount of flexibility in how and when we access the capital markets. We ended the quarter with our key leverage metrics within our target ranges with debt to gross assets at 43.2% and net debt to adjusted EBITDA at 5.8x. We continue to expect both of these leverage metrics to remain within our target ranges. Lastly, we continue to grow our dividend. During the second quarter, we declared a dividend of $0.90 per share or $3.60 annualized, representing a 3.4% increase over the prior year. Our dividend is well supported by our earnings growth with our year-to-date payout ratio at approximately 73% of AFFO per share. And with that, I'll hand the call back to Jason.
Jason E. Fox: activity and pipeline remains strong, and we're on track with our funding strategy, achieving very good results and dispositions and reinvesting the proceeds at compelling spreads. Disciplined execution combined with stable tenant credit and no discernible tariff- related impacts positions us very well for the second half of the year, and we continue to see a path to the high end of our revised guidance ranges for both investments and earnings. Our updated AFFO guidance reflects growth that's a meaningful step-up from recent years. Combined with a well-covered dividend yield that's remained in the mid- to high 5% range, we believe we're well on our way to delivering a double-digit total shareholder return for 2025. Furthermore, we're confident that the foundation we built this year positions us well to maintain that level of growth in the coming years and deliver long-term value creation for our shareholders. That concludes our prepared remarks. I'll hand the call back to the operator for questions.
Operator: [Operator Instructions] Our first question comes from John Kim with BMO Capital Markets.
John P. Kim: For the second straight quarter, your comprehensive income was pretty meaningfully above contractual. And Toni, you reminded us that typically, it's 100 basis points below. So for the second half of the year, do you expect it to be back to that historical level, 100 basis points below? Or would it be lower just given the outperformance this year?
Toni Ann Sanzone: Thanks, John. Yes, I would say, if you look at it on a full year basis, we are expecting that to normalize a bit in the back half of the year. And there's a couple of things behind that. First, if you think about how we've described our rent loss reserve, we've got about $12.5 million at the midpoint in the revised range in that assumption. Right now, we haven't had any real disruption in the first half of the year. So our guidance assumption and comprehensive same-store, I'll assume that the $12.5 million is taken in the third and fourth quarters, that could prove conservative, and we could outperform that. So that's something that we're monitoring as well. And then I would just note that maybe the first half of the year was also impacted by some of the tailwinds associated with some of the headwinds we had in the portfolio last year. So it's a little uneven in the first half to the second half, but there could be some upside relative to the full year estimate that I described, which would track probably just north of the contractual in the mid-2% range.
John P. Kim: Okay. And my second question is on your self-storage operating portfolio. You provided a bit of an update on the income. But I was wondering, you've sold the first tranche, you transitioned some assets. Do you expect to transition more to the triple-net lease structure? And then as far as the buyer of the first tranche, I mean, reportedly, it's not an operator of those assets. I'm wondering if a buyer can come in and cancel the third-party management contracts.
Jason E. Fox: Yes, sure. So in terms of the first question, we have kind of lots of flexibility on what we do with the remaining portion of our operating self-storage portfolio. You noted last year, we did take a sub-portfolio input under net lease with Extra Space. And that's always been the goal for some portion of the portfolio. We thought the timing was right. And then this year, obviously, we're clearly selling a substantial portion of it, and we think that's the best way to fund new investments. So kind of looking forward, what we do with the rest of the portfolio will -- that will depend on deal volume for the second half of the year into next year, what our capital needs are, what our other funding options are. But I would expect that we could lean into some more sales in the second half of the year since execution has been strong. But I also think that we could convert some portion of it to net lease as well. And it's likely going to be a combination of the two. So either way, I think that probably by this time next year, we're out of the operating storage business, but we have some options between what we do between now and then. And then in terms of the portfolio that we did sell, yes, I think the way those contracts work, the management agreements, they're typically cancelable upon 30 days' notice. So there's not a lot of hurdles you have to overcome when you're selling assets to a different operator.
Operator: Your next question comes from Greg McGinniss with Scotiabank.
Greg Michael McGinniss: Toni, I'm just trying to better understand on the AFFO guidance. It seems to imply back half quarter results falling from where we were in Q2. Now aside from the lower lease termination income and I guess, the potential Hellweg credit event, are there any other headwinds that are anticipated? [Technical Difficulty]
Jason E. Fox: Are you able to mute that person? I'm not sure if that's...
Greg Michael McGinniss: Yes. sorry, it's the associate.
Toni Ann Sanzone: Yes. So Greg, I'll just maybe highlight. You reiterated really the 2 points that I think are worth thinking about as we get into the second half. So when you look at the second quarter, relative to the outlook for the remainder of the year, the other lease-related income is probably the biggest driver in terms of second quarter being elevated. Maybe worth noting, we didn't update our full year guidance on that. This is really just more of a timing and it is -- these types of payments don't lend themselves really to a run rate from 1 quarter to next. But if you really take the balance of our full year guidance over the back half of the year, that would normalize out about $0.03 in each of the third and fourth quarters. And then on the rent reserve side, as I mentioned on the comprehensive income question, the $12.5 million reserve is assumed to all be taken in the third and fourth quarter. So you got another roughly $0.03 in each of those quarters as well. So I think those are really the anomalies. From there, we do expect to grow our AFFO. There's certainly a path where we could see outperformance relative to the not needing the full rent contingency that we've discussed. And again, as we continue to see the pipeline investments grow, that growth is going to continue to play through the third and fourth quarters as well.
Greg Michael McGinniss: Okay. That's really helpful. Jason, I was hoping you could touch on some of the acquisitions that you guys do are not necessarily brand names that we're all familiar with. In terms of the credit of the tenants that you're doing sale-leasebacks with or financing expansions for, whatever it happens to be, how are you getting comfortable with those transactions and the credit quality considering some of the troubles that have happened over the last year with certain tenants?
Jason E. Fox: Yes, sure. I mean we've always targeted sub-investment-grade tenants. We think that's the sweet spot in net lease investing, and we typically focus on large companies with operationally critical real estate. So nothing new there. Really, our approach hasn't changed a lot. We'd be focused on value, the criticality, the tenant credit underwriting. It's something that we're good at. We've done that for a long time. We think we can underwrite and structure around risk really well, and that's part of the model. So it's really a range of credits. I mean -- but I think one of the themes that we've talked about before, while it's just below investment grade, I think the large companies do make a big difference.
Greg Michael McGinniss: And is there something happening now that's bringing more of these companies to market? Or are you just doing more deals now that you have the capacity to do so?
Jason E. Fox: Yes. I mean, look, the market feels quite strong, constructive right now. There are lots of opportunities. I think some of this is driven by what feels like a relatively stable interest rate environment. It's probably been the case now for several quarters, which is always a key ingredient in kind of the increase in transaction activity. So that's despite changing expectations throughout the year around tariffs. If you look at treasury yields, they've been mostly range bound in the low to mid-4s for most of this year, even dating back to the fourth quarter of last year. So that creates stability. I think you see transaction activity increase, but as spreads have come in, and we're taking advantage of that. I think we've had a really strong first half of the year. We're tracking ahead of our initial expectations and a good healthy pipeline. So I think some of it is market driven. But a lot of it is who we are as a company. We've been doing this for a long time. We have a lot of relationships in an environment where maybe there's stability, but there's still this overlaying uncertainty, I think execution really comes into play, and we're going to fare quite well if we're competing on deals. Execution is the strength of ours. So I think it's really a combination of all of those things, but generally, it's a good environment right now for us.
Operator: And your next question comes from John Kilichowski with Wells Fargo.
John Kilichowski: In your initial remarks, you touched on it, but we've had a lot in the news flow recently around our conversations between the U.S. and the EU on trade discussions and tariffs. I know in our last quarter's earnings, you mentioned that there really hasn't been an impact to your numbers. It sounded like more of the same here. I'm curious if you've spoken to your operators and if they started to give any sort of opinion on what they're hearing out of the government and if they think it will affect their business at all or if maybe there's some tailwinds that we're not considering.
Jason E. Fox: Yes. I mean, look, I think uncertainty is still an underlying theme. But to date, yes, we don't think there's been much of an impact that has flowed through to the economy, I think, generally. I mean tariffs have been a big part of the news, but they really haven't been implemented. And certainly, with the way companies have been trying to get ahead on inventories, it hasn't really flowed through the economy at this point in time. And that's similar with our portfolio. We haven't seen impacts. We haven't seen a lot of commentary from our tenants and it really hasn't impacted investment activity as well. And I think there's probably reasons to think that given the more moderate nature of kind of the tariffs that are being discussed right now, why there wouldn't be big impacts, at least on us and our tenant's ability to pay rent going forward. But certainly, it's something that we keep monitoring, and we'll see where everything lands.
John Kilichowski: Got it. And then maybe on the opportunity set. It sounded like you highlighted in the opening remarks that Europe was providing better spreads. I'm curious just what's the primary drivers of that.
Jason E. Fox: In terms of better spreads. Well, I mean, the biggest driver is the cost to borrow in Europe. We can borrow probably 125 to 150 basis points inside of where we could issue U.S. bonds, yet cap rates are in the similar zip code, maybe a little bit tighter depending on the country. And in Europe, the cap rates kind of range fairly widely given the different markets. But that's the biggest driver is our ability to borrow cheaper in euros than we can in U.S. dollars. And we've talked about this before, but we think that is something that is sometimes overlooked or at least underappreciated in our model that we do have an access to very cheap capital in Europe.
Operator: Your next question comes from Michael Goldsmith with UBS.
Michael Goldsmith: First question is just about the opportunities. Sticking with the topic of Europe, what's the opportunity set you're seeing in Europe and the U.S.? You talked a little bit on spreads and cap rates. But just during the quarter, there was predominantly acquisitions in the U.S. relative to Europe. And so just trying to get a sense of how the opportunity set looks maybe going forward. And was that kind of timing related where you're a little bit more U.S. than Europe?
Jason E. Fox: Yes. I mean, look, we've been seeing really good opportunities in Europe, especially in the industrial sector and especially through sale leasebacks. So as you noted or as I talked about earlier, call it, 3/4 of our deals year-to-date have been in North America. The pipeline is shaping up a little differently. I would say, right now, looking forward, it's probably 50-50 split between North America and Europe. So we're starting to see more activity. Our pipeline is within Europe. The deals tend to take a little longer to close there. So maybe we have a little less visibility into the timing there, but it's picking up there, and I would expect the second half of the year to be more active over there. Maybe we end up something that's closer to 2/3, 1/3 split between the 2, but it will vary quarter-to- quarter for sure.
Michael Goldsmith: And as a follow-up, maybe a similar question, but on the retail versus industrial split. Clearly, a lot of industrial being done in the pipeline, but also, like at the beginning of the year, you talked a little bit more about -- you talked about how you wanted to do more in the retail space. So is that timing related? Is that the opportunities? Or is there any sort of change in strategy? Just trying to get a sense of preference between industrial and retail because it did seem pretty industrial heavy in the quarter.
Jason E. Fox: Yes, no change in strategy. We want to continue to build and ramp up our retail vertical, and we'll continue to be opportunistic there. But yes, year-to-date, we're finding better risk-adjusted returns in the industrial sector. Look, the U.S. retail is just something we've always characterized it as being more competitive and pricing is a little bit tighter there, maybe less so the going in cap rates, but more when you factor in the bumps and kind of the total return on U.S. retail. It's a little bit tighter than maybe we think it should be. So yes, it's been more industrial, less retail. I think the second half of the year, we'll see us get some retail done. But look, I think it's okay if we're lighter on retail for points in time. It highlights the value of our platform and the benefits of a diversified model where we can allocate capital to the best opportunities across a wide range of property types and geographies. So more to come there, but I think we'll see more as the second half goes along.
Operator: Our next question comes from Smedes Rose with Citi.
Smedes Rose: I just wanted to ask you a little bit more about the increased outlook for acquisition volume in the back half of the year. And it sounds like you're seeing a lot more attractive opportunities. And so could you just maybe talk about what you're seeing on the competitive side? Or kind of maybe what's just sort of being -- what's driving the incremental opportunities for you?
Jason E. Fox: Yes. It's really market conditions that are driving the opportunities. If you think about over the past couple of years, there's been less activity and maybe I have characterized it as pent-up sellers looking for kind of a stable transaction market to get better execution. And I think that's what we've been seeing. I mentioned earlier, a lot of that is driven by the kind of being range-bound with treasuries at least in the U.S. Competition, I think, in the U.S., that's always been a competitive market, less so in our -- where we've historically targeted, which is industrial sale leasebacks, a little more so as I just mentioned in retail, but it's all manageable. It's been -- it's always been competitive, and we continue to find ways to compete there. So I would say it's more driven by kind of overall market conditions.
Smedes Rose: Okay. And then I just wanted to ask you -- so it sounds like that Hellweg is kind of in line with your revised expectations and then you took down the rent loss expectations for the year for a little bit. I mean any other sort of changes on your watch list of tenants that are maybe coming in better relative to your expectations or things that you could highlight.
Jason E. Fox: Brooks, do you want to take that?
Brooks G. Gordon: Sure. Yes. I mean, credit quality has improved substantially. I mean True Value and Hearthside were the only other 2 tenants of any large size on the watch list in addition to Hellweg. So those have been resolved with very little impact. We've had a handful of other smaller tenants, complete refinancing, and we've moved them off the watch list. So credit quality is in a solid place right now. That said, we have a degree of caution around an uncertain world right now, especially around tariffs and trade, also Hellweg's turnaround like we discussed. So we have that $10 million to $15 million reserve that we've described. That may prove conservative, but that's kind of the perspective we're taking right now.
Operator: Your next question comes from Spenser Glimcher with Green Street Advisors.
Spenser Bowes Glimcher: Maybe just a higher-level question here to start. We've recently seen some large real estate players like BlackRock and Starwood acquire some net lease portfolios/platforms. Is there any concern on your end that over time, these firms are going to start impacting the bidding tenants or pricing or just become a larger competitive force in the net lease market?
Jason E. Fox: Yes. I mean, look, less competition is always better, which is kind of what we've liked about Europe for some time now. But as I said before, the net lease market has always been competitive in the U.S. And yes, we have seen some new private equity entrants, including some nontraded platforms that you mentioned. And they're finding net lease attractive. And I think that's maybe a positive signal takeaway there. They typically are focused on using higher leverage, which is generally more expensive and maybe less reliable in the current market. But like I said, we've been able to compete with -- in the U.S. market for quite some time. And I don't think that's going to change.
Operator: Your next question comes from Brad Heffern with RBC Capital Markets.
Bradley Barrett Heffern: Equity cost of capital has improved quite a bit this year. I know the plan for 2025 at least is to fund with dispositions, but I'm curious if you're close to seeing equity as an attractive option or do you think the primary funding source will remain dispositions for the foreseeable future?
Jason E. Fox: Yes, we've had some nice momentum in the stock price year-to-date, but I think we continue to believe that we don't need to be in the equity markets this year. And we're continuing to be comfortable with kind of the approach that we've talked about, about selling non- core assets to fill our deal funding needs this year. I wouldn't rule out and maybe couldn't rule out any opportunistic issuance if the right situation comes up, and that could help us get ahead of future capital needs. But again, I think the reality is we don't need to do that this year given our funding plan. But then that's even if we push through the top end of our investment volume guidance. So something to monitor, but it's not a need.
Bradley Barrett Heffern: Okay. And Toni, you mentioned in the prepared remarks about the tailwind from a stronger euro. Can you give a figure for how much of the guidance raise was due to that? And then just remind us what the AFFO sensitivity is to changes in the euro?
Toni Ann Sanzone: Sure. Yes. I think as you're highlighting, there's certainly some impacts on the euro, but maybe it's worth kind of just stepping back and thinking about how that's playing through for us. I think overall, on a net basis, just given how we hedge both with the natural interest expense and property expenses nominated in euro, and then the cash flow program, the cash flow hedging program on top of that, we really do mitigate out any significant impact. So over the first half of the year with, call it, a 10% change in the euro from the start of the year, it's probably only having between $0.01 and $0.02 net impact and that flows through various line items. But something pretty manageable, and that goes in both directions. I think to the extent the euro declines relative to the dollar, we wouldn't expect a material impact in the back half of the year either.
Operator: Your next question comes from Anthony Paolone with JPMorgan.
Anthony Paolone: I think the only thing I had left was -- I may have missed this, but what were your acquisition and disposition cap rates for the quarter and just the pipeline, what would those look like for the pipeline as well?
Jason E. Fox: Yes, acquisitions for year-to-date, mid-7s, call it, 7.5%. And that's where we've been for a while now. It's where we kind of ended last year. It's where we've been in the first half of the year. And I would say it's roughly where kind of the average is across our pipeline as well. And again, that's reflective of maybe a little bit more stability in the interest rate environment. In terms of dispositions, we noted we closed about a little under $600 million of dispositions year-to-date. The biggest piece of that was one of the self-storage portfolio has about $175 million in total. That was a sub-6% cap rate. We're not getting the specifics because we have other portfolios in the market. In fact, we have 2 others that we think probably close this quarter, that's all part of the initial plan for the first half of our storage that we've been talking about. But maybe the way to describe kind of dispo cap rates is we do expect to achieve 100 basis points at least and probably closer to 150 basis points of spread between where we're investing and what we'll sell this year. So I think you can think about dispo cap rates approaching 6% for the full year, but that's probably a decent assumption to use.
Operator: [Operator Instructions] And your next question comes from Jana Galan with Bank of America.
Jana Galan: Congrats on a great quarter. Just a question on the fixed in-place rent bumps. I think you mentioned that the portfolio is at 2.1%. And then on the leasing to date, you mentioned the fixed escalators are 2.8%. I was just curious if this is due to more industrial being in that mix or are tenants now, conversations you're having, accepting these kind of higher escalators.
Jason E. Fox: Yes. It's probably a combination of the two, Jana. We've talked before that we've gotten a little bit less inflation-based increases in the new deals that we're doing. But what that means is we've been able to push the fixed increases a little bit higher. So yes, so year-to- date, on new deals with fixed increases, I think the average fixed increase was 2.8% on new deals. And again, I think that's reflective of where alternative lease bump structures could be with inflation. But I think it's also a reflection of the industrial deals we're doing. Retail tends to be meaningfully lower, probably 1.5% to 2% per year and depending on the credit, especially if you go investment grade, those tend to be flat to maybe 1% or 10% every 10 years. So I think it's a combination of two things, but we do maybe want to continue emphasizing that we have substantial bumps in our portfolio, and we look at spreads both between going in cap rates that provide year 1 accretion, but also importantly, what's the average yield over the life of the lease. And we think the mid-9s that we've been achieving as of late, that's probably one of the highest, if not the highest in the net lease sector. So quite attractive still.
Jana Galan: And then maybe just following up on that, can you talk a little bit about how you think about the developments.
Jason E. Fox: Developments as in build-to-suits?
Jana Galan: Yes. What kind of yields you're targeting there and how that -- the trade-off between sale leasebacks on income producing and doing these build-to-suits?
Jason E. Fox: Yes. And we do provide some pretty good disclosure in our sub capital investment projects is what we categorize it as, and that includes build-to-suits expansions and redevelopments. And it's something that we've been doing for a long time. I think historically, they probably made up maybe 10% to 15% of annual deal volume. And I think that we can ramp that up. You may have noted this quarter, we committed to funding several new projects totaling about $100 million. That brings our total projects currently under construction to about $300 million, those would deliver over the next, call it, 18 months or so. With cap rates, it does depend on the deal, obviously. I would say, on average, you probably see 15 -- 25 to 50 basis points of premium for long-term build-to-suits. When you think about the expansions or redevelopments that we can do within our portfolio, it's probably meaningfully higher than that in terms of the spreads that we can generate. And that's something we want to ramp up. And we've built up a dedicated project management team in-house. They have deep operational real estate expertise and that gives us a real competitive advantage and something that we can offer development services and solutions to our existing tenants and hopefully ramp up deal volume there.
Operator: Your next question comes from Jim Kammert with Evercore ISI.
James Hall Kammert: Really just building that last theme, Jason and team. The current administration certainly seems to want to bring manufacturing to the U.S., whether it's pharmaceuticals, autos, et cetera. And is that really to translate to any opportunity, particularly among your varied manufacturing-specific tenant base? Are they having more conviction in their conversations with you about expanding or putting capital to work and therefore, needing more space? Just curious at a high level.
Jason E. Fox: Yes. I mean it's anecdotal, but I think there is some truth behind that, that we've heard more inbound conversations on build-to-suits, but also expansions and adding capacity to our existing management or existing asset base. So that's certainly some tailwinds that we can foresee. How widespread or impactful it will be, it's kind of hard to tell. These are long-term decisions that companies need to think that we would benefit within our industrial portfolio and especially the manufacturing side.
Operator: At this time, I'm not showing any further questions. I'll now hand the call back to Mr. Sands.
Peter Sands: Thank you for your interest in W. P. Carey. If anyone has additional questions, please call Investor Relations directly on (212) 492-1110. That concludes today's call. You may now disconnect.